Operator: Good afternoon, and welcome to Synchronoss Technologies Fourth Quarter and Full Year 2023 Earnings Conference Call. Joining us today are Synchronoss Technologies' President and CEO, Jeff Miller, and CFO, Lou Ferraro. Following their remarks, we will open the call for your questions. Then before we conclude, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call will be recorded and made available for replay via a link in the Investor Relations section of the company's website at synchronoss.com. Now I would like to turn the call over to Synchronoss CEO, Jeff Miller. Sir, please proceed.
Jeff Miller: Thank you, operator, and welcome, everyone, and thank you for joining us today. After the market closed, we issued a press release announcing our results for the fourth quarter and full year ended December 31, 2023. A copy of the press release is available in the Investor Relations section of our website. 2023 was a transformative year at Synchronoss, one defined by consistent execution and the successful completion of our strategic shift to becoming a premier global personal cloud solutions provider. We took our first major steps on this journey in early 2022 when we divested certain digital assets to iQmetrix, setting the stage for a broader strategic reform. We thoroughly explored all options to increase shareholder value and focused our actions around unlocking the potential of our high-margin Personal Cloud business. This process ultimately culminated in the divestiture of our noncore Messaging and NetworkX businesses to Lumine Group in Q4 2023 to achieve our strategic shift to a dedicated global cloud solutions provider. Additionally, over the last two years, we've implemented the necessary cost control measures and streamline our operations to enhance efficiency and improve our financial profile, which led to the positive net cash flow of $2.7 million in fiscal 2023. Since the divestiture, we further refined our remaining cost in cloud operations by reducing our annual costs by an additional $15 million for fiscal 2024 to strengthen our ongoing and go-forward financial performance. Now at the start of 2024, we stand as a pure-play global cloud solutions company, one with a clear strategic focus, a simplified financial model and a more profitable and aligned operation. Our Q4 financial results underscore Synchronoss' strong financial foundation as a cloud solutions company, highlighted by a significant 127% year-over-year increase in adjusted EBITDA to $10 million. This performance contributed to a full year adjusted EBITDA of $31.4 million, surpassing the upper end of our guidance. These results were achieved during a period of strategic realignment, which included onetime costs for the sale of Messaging and NetworkX businesses. Additionally, we delivered Q4 revenue of $41.4 million, leading to full year revenue of $164.2 million, which also exceeded our previously communicated guidance. Our Q4 results clearly benefited from the heightened performance of our simplified business model and it hints at the new baseline for sustained growth and increased profitability that we expect for the company in 2024 and beyond. As we embrace our cloud focus this year, we will maintain our three main strategic priorities. Again, these priorities are to, one, protect and grow our cloud subscriber base. Number two, expand our global customer base. Number three, deliver new anchor features. Our track record for protecting and growing our subscriber base remains strong and consistent. And in Q4, we saw subscriber growth of 9% year-over-year. We continue to see encouraging subscriber trends at our long-time customers of Verizon and AT&T. And with the recent addition of SoftBank subscribers which exceeds over 100 million subscribers across its brands, further extends our long subscriber growth runway that's well ahead of us. In the second half of 2023, we extended our agreement with Verizon through 2030. We exercised an extension of our partnership with AT&T and launched SoftBank's Anshin Data Box powered by Synchronoss Personal Cloud. We now have more than 75% of our total revenue under contracts with at least four-year terms to support our growth expectations. With regard to expanding our global customer base, we reached an important milestone in the launch of Synchronoss Personal Cloud with SoftBank during the fourth quarter. With its 100 million-plus subscriber base across its brands, including SoftBank Mobile, Y!mobile and LINE, SoftBank is expected to provide significant additional revenue for Synchronoss in the coming years. The launch of SoftBank's Anshin Data Box has garnered strong early traction among subscribers, a testament to the offering's alignment with the local needs of the Japanese market and the relevance that our secure AI-enhanced solution for backup and restoring digital content on mobile devices exists. Anshin, meaning peace of mind in Japanese, perfectly reflects the product's secure handling of photos, videos and files, which is resonating well with customers. This early success is further supported by SoftBank's commitment to our cloud partnership as shown by their effective sales and marketing strategies, leveraging their extensive network of 3,000 stores across Japan. Successful partnerships with our Tier 1 customers providing important proof points of the value of the Synchronoss Cloud provides to service providers. And as a result, allows us to continue to pursue new customers. We entered 2024 with a strong pipeline of sales and business opportunities on a global basis. In fact, we recently returned from Mobile World Congress in Barcelona, where the attendance and the buzz of activity was remarkable and quite encouraging. Our discussions with customers and prospects were rich as we exchanged ideas about the future of AI and mobile communications and shared Synchronoss' latest innovations. It's clear from our discussions that global service providers are urgently seeking avenues for revenue growth, churn reduction and differentiations from their competitors. These key customer priorities and industry dynamics complement the value proposition delivered by our Synchronoss Cloud solutions, as demonstrated by our current customers. Our pursuit of excellence in cloud technologies will be a key factor in our success in the coming years. As we strive to deliver key anchor features to our customers, we made important updates to this technology in Q4. Central to these updates is the introduction of enhanced plans within the Synchronoss Personal Cloud Platform. This flexible enhancement allows telecom operators and mobile service providers to offer a tiered service model, enabling subscribers to choose from basic, value-added and premium service options. These enhanced plans are designed to empower service providers to tailor their offerings more closely to their subscriber needs, facilitating new avenues for monetization, subscriber engagement and customer retention. At Mobile World Congress, we display these enhanced plans alongside other significant innovations. Among them, the further developed Genius feature stands out. Now including advanced computer vision and AI capabilities for enriching photos with unique effects and filters, the integration demonstrates our platform's versatility in enhancing subscriber engagement and personalizing the cloud experience. We also streamlined the onboarding process aiming to boost subscriber adoption by simplifying the initial setup, thereby ensuring users that they can quickly and securely add their digital content. These refinements collectively signify a leap forward in our mission to provide comprehensive, secure and personalized cloud solutions. Finally, in Q4, we welcomed Kevin Rendino of 180 Degree Capital partners to our Board of Directors in December. Kevin brings a wealth of financial knowledge to our leadership team that will be instrumental as we shape the future of Synchronoss. So entering 2024, we are positioned for sustained growth as a dedicated cloud company. As we continue to focus on supplying industry-leading technology and value add to our global customer base, we are confident that our simplified financial model will unlock shareholder value this year and beyond. With that, I will turn the call over to Lou, who will provide a detailed overview of our financial performance and share our outlook for 2024. Lou?
Lou Ferraro: Thanks, Jeff. Our successful transaction with the Lumine Group has not only unlocked the superior financial profile of cloud, but as we spoke about on our last call, it facilitated a meaningful improvement to our capital structure as we used a portion of the upfront consideration to pay down approximately $10 million of our preferred stock. This reduces our annualized dividend obligation by an estimated $1.4 million. We have several other payment expirations and financial catalysts on the horizon in 2024 that will further improve our balance sheet. With that, let's begin with some of our key performance indicators which serve as the leading success metrics for our business. First, consistent with the guidance we've provided during our Q3 earnings, we achieved year-over-year cloud subscriber growth of approximately 9% in Q4. The results in the quarter reflect our growing base of subscribers and the elongated smartphone upgrade cycle, which now exceeds 3.5 years. We anticipate subscriber growth to be in the high single to low double digits in 2024. Cloud revenue of $41 million was up 3% on a year-over-year basis. Cloud revenue represented over 99% of our total revenue in the fourth quarter of 2023 and is forecasted to comprise 100% of revenue in 2024. Quarterly recurring revenue was 88% of total revenue, which was consistent with the 89.5% of total revenue in Q3 2023 and 81.1% in the fourth quarter of last year. With cloud now comprising 100% of total revenue going forward, we anticipate that recurring revenue will approach 90% of total revenue on a consistent and long-term basis. Turning now to our financial results for the fourth quarter and full year ended December 31, 2023. Total revenue in the fourth quarter was $41.4 million, which was consistent with $41.3 million in the prior year period. The revenue performance was a result of the expected impact from divestiture of the Messaging and NetworkX businesses during the fourth quarter as well as the expected moderation in subscriber growth. Looking at the full year, total revenue decreased 5.5% to $164.2 million from $173.8 million in the prior year. The change in revenue primarily resulted from two factors: The runoff of deferred revenue recognized in the first half of 2022 of approximately $8.5 million and the sale and product sunsetting of the nonstrategic DXP and Activation assets in 2022. Gross profit in the fourth quarter increased 2.5% to $26.5 million, 63.9% of total revenue from $25.8 million or 62.5% of total revenue in the prior year period. Gross margins increased as a result of lower cost of revenues associated with a higher concentration of cloud revenue to total revenue. This effect was partially offset by restructuring costs as well as increased depreciation and amortization associated with the capitalized software development. For the full year, gross profit decreased 7.6% to $105.8 million, 64.4% of total revenue from $114.5 million or 65.9% of total revenue in 2022. The decrease was due to deferred revenue runoff in the first half of the year, a legacy cloud product sunsetting in 2022 and the divestiture previously noted. An upturn in gross profit and margins was observed in the latter half of 2023, driven by a growing share of cloud revenue indicating an improving trend in gross margin and profit performance following the strategic shift away from Messaging and NetworkX. Fourth quarter income from operations was $200,000, a significant improvement from a loss of $5.8 million in the prior year period. This change was largely due to a $7.9 million reduction in selling, general and administrative expenses which followed the cost rationalization efforts after the divestiture. This effect was partially offset by $3.6 million in restructuring charges related to that divestiture. For the full year, loss from operations was $10.6 million compared to income from operations of a positive $300,000 in 2022. The increase in operating loss was primarily the result of the changes in revenue, increased R&D spend from higher employee costs, a lease impairment charge and nonrecurring professional expenses associated with the divestiture in the fourth quarter. Cost savings initiatives executed throughout 2023, provided a partial offset. Net loss in Q4 was $35 million or $3.56 per share compared to a net loss of $15.9 million or $1.66 per share in Q4 2022. Net loss from continuing operations improved to $11.8 million or $1.46 per share from $16.2 million or $1.92 per share in the prior year period. Net loss from discontinued operations was $20.6 million or $2.10 per share compared to net income of $2.5 million or $0.26 per share in the prior year period. The increase in net loss was primarily due to the loss on sale of discontinued operations. For the full year, net loss was $64.5 million or $6.62 per share, compared to $17.5 million or $1.81 per share in 2022. Net loss from continuing operations was $4.52 per share compared to $1.71 per share in the prior year. Net loss from discontinued operations was $2.10 per share compared to $0.10 per share in the prior year. The increase in net loss was primarily due to the lower revenue, changes in noncash foreign exchange and the aforementioned impairment and the loss from the sale of Messaging and NetworkX. In Q4, adjusted EBITDA increased 127% to $10 million. 24.1% of total revenue from $4.4 million or 10.7% of total revenue in the prior year period. For the full year, adjusted EBITDA increased 13.5% to $31.4 million, 19.1% of total revenue from $27.7 million or 15.9% of total revenue in the prior year. The increase in adjusted EBITDA margin resulted from the favorable revenue mix to higher-margin cloud, especially in the latter half of the year. Moving to the balance sheet. Cash and cash equivalents increased $2.7 million to $24.6 million at December 31, 2023, compared to $21.9 million at December 31, 2022. Cash also increased $7 million sequentially from $17.6 million at September 30, 2023. In Q4 2023, free cash flow was negative $5.9 million and adjusted free cash flow was a negative $100,000. For the full year, free cash flow improved to a negative $2.6 million from $3.8 million in 2022 and adjusted free cash flow improved to a positive $13.2 million from $6.1 million in 2022. In Q1, we have now made our final payment to the SEC related to the financial restatement that the company completed in 2018. As these costs go away, cash flow will naturally improve by $4.8 million in 2024. As a reminder, we still have about $28 million of federal tax refund claims that are included in our prepaid assets on the balance sheet. As expected, we didn't receive any additional tax refunds during the period, and the rest of the refunds are still being audited. We are cooperating with the IRS, responding to their data request on time and the audit is currently ongoing. We anticipate the tax refund to be received in the middle of 2024. Once we receive the refund, we plan to use those funds to further pay down our preferred shares. Let me now turn to guidance. Entering 2024, we anticipate the continuation of positive trends experienced with our customers throughout 2023. The recent addition of SoftBank, alongside the expiration of certain payment obligation and the removal of other general costs in Q1, combined with the superior revenue cash generation capabilities of the stand-alone cloud business, add to our expectation for net cash flow to be at least $10 million for 2024. We expect cloud subscriber growth to be in the high single-digit to low double-digit range throughout 2024. For the fiscal year ended December 31, 2024, we expect GAAP revenue to range between $170 million and $175 million, consistent with our previously communicated range of 5% to 8% growth. We anticipate adjusted EBITDA will range between $42 million and $45 million in 2024, again, consistent with our previously communicated margin range. I will now turn the call back over to the operator for Q&A. Thank you all very much for joining us.
Operator: [Operator Instructions] Our first question comes from Mike Latimore with Northland Capital Markets. You may proceed.
Mike Latimore: Yeah, thanks a lot. Congrats on the big year here. You talked about SoftBank being, I guess, ahead of expectations. Can you put a little more color on that? This is the new launch. So how is the attachment rate here relative to other new launches you've had? Or any other color on kind of the quantification of the successor?
Jeff Miller: Yeah. Thank you, Mike. Thanks for joining us. And we are pleased at the launch of SoftBank right out of the gates. And it is a little bit of a different launch dynamic. In fact, then we have -- with what we've seen more traditionally with Verizon and with AT&T. If I just reflect quickly on those, most of our activations have come through the digital onboarding of the setup flow for consumers in our US-based customers. Having said that, in the case of SoftBank, and may be one of the reasons why they're out of the gates a little more rapidly than we anticipated was that they've really employed a retail-first strategy. So they're leveraging their 3,000 points of presence, their sales organization to add-on sales and introduce this value-added service of Anshin Data Box directly to their consumers. Whether or not, they are upgrading a device and not just in the digital onboarding flow. So quantifying that, you will not see that reflected in our Q4 subscriber growth numbers because they just launched in November, and they are in some trial periods, but we are in a situation where you'll start to see the impact of that numerically in our Q1 subscriber growth numbers.
Mike Latimore: Great. And then, I know, obviously, most of the growth this year will come from current cloud customers or SoftBank just launched. What about just the pipeline for new customers? I guess, you talked about just coming back from Mobile World Congress. But how does the pipeline for new customers look?
Jeff Miller: We have modest expectations on revenue contribution in 2024 from any new customers, but we do anticipate that we will bring on some new clients during the course of 2024. Our conversations at Mobile World Congress from clients from Asia to Europe, of course, and even North America, were encouraging that they're seeing the need for finding new ways to drive incremental revenue. And therefore, what I would anticipate is that we might secure a contract or two in a fortunate circumstance throughout 2024. We would announce those and expect that the revenue contributions would likely make a larger contribution to 2025.
Mike Latimore: Great. And then just last on the enhanced service plans. Can you talk a little bit about how you see the average ARPU on those -- kind of on those plans and also the potential -- relative to the potential subscriber growth there?
Jeff Miller: Yeah. Well, one of the things that's key is that not every one of our clients has a single way that they would like to deploy and leverage the platform. And the reason we introduced the enhanced plans is all about flexibility. So that if they want to tier their service offering, not only their price plans, which many of our customers do between 500 and 600 gigabytes to terabyte offerings and, in some cases, unlimited offerings, they now have the ability to differentiate the services that they make available on each of those tiers. And as a result, that allows them to further monetize capabilities like artificial intelligence, if they so choose to employ it that way or just provide more value at those higher tiers to differentiate it for different subscriber populations.
Mike Latimore: Great, great. Sounds good. Thanks very much.
Jeff Miller: Thank you, Mike.
Operator: [Operator Instructions] Our next question comes from Jon Hickman with Ladenburg Thalmann. You may proceed.
Jon Hickman: Hi. So are you going to -- as the quarters go by in 2024, when you do your comparisons with 2023, will that reflect the elimination of the NetworkX and the other revenues?
Lou Ferraro: Yes. Jon, on a go-forward basis, we're going to continue to do what we did this quarter is we'll reflect our cloud for cloud performance on a quarter-by-quarter and on a sequential basis.
Jon Hickman: Yeah. Okay. But then -- so I'll be able to see what happened in Q1 of 2023 as if NetworkX was gone?
Lou Ferraro: That's correct.
Jon Hickman: Okay. So the $161 million in change that you reported for the year, we'll just have to wait to see how that is reflected on a quarterly basis throughout the year as those [indiscernible] become available?
Lou Ferraro: Yeah. So we reported for the year, $164.2 million, which was primarily cloud, but we will make sure that we provide next quarter, a comparison of cloud-only to cloud only, so that, that comparison is very easily and visibly seen.
Jon Hickman: Okay. Thank you. That was a little confusing when I looked at your numbers and my total and your total. So thanks. Appreciate it.
Lou Ferraro: Thanks, Jon.
Operator: Thank you. At this time, this concludes our question-and-answer session. I'll now turn the call back over to Mr. Miller for any closing remarks.
Jeff Miller: Yes. Great. Thank you very much. Before I conclude, I'd like to just express my appreciation to the entire Synchronoss team. It is your consistent contributions, your commitment to customers and spirit of innovation, which have positioned Synchronoss in -- where we are today for the best financial performance that we've seen in many years. To our shareholders, we appreciate your continued support, and we've undergone some pretty significant changes over the last several years, and we have now emerged more focused than ever, and we remain dedicated to delivering long-term value to you. Thank you, operator, and back to you to conclude.
Operator: Before we conclude today's call, I would like to provide Synchronoss safe harbor statement that includes important cautions regarding forward-looking statements made during this call. During this call, management discussed certain factors that are likely to influence the company's business going forward. Any factors that are discussed today are -- that are not historical, particularly comments regarding our prospects and market opportunities should be considered forward-looking statements within the meaning of applicable securities laws. These forward-looking statements include comments about the company's plans and expectations of future performance. Forward-looking statements are subject to a number of risks and uncertainties, which could cause actual results to differ materially. All listeners are encouraged to review the company's SEC filings, including its most recent 10-K and 10-Q for a description of these risks. Statements made during this call are made as of today, and the company does not undertake any obligation to update or revise any of such forward-looking statements whether as a result of new information, future events, changes in expectations or otherwise. Please note also that throughout today's call, management discussed certain non-GAAP financial measures such as adjusted EBITDA, although the non-GAAP measures are derived from GAAP numbers, adjusted EBITDA does not necessarily equate to cash generated by operations as it does not account for such items as deferred revenue or the capitalization of software development. Today's earnings release describes the differences between the company's non-GAAP and GAAP reporting and presents a reconciliation for the periods reported in the release. Thank you for joining us today for Synchronoss Technologies Fourth Quarter and Full Year 2023 Earnings Conference Call. You may now disconnect.